Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the DT Midstream First Quarter 2024 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions]
 At this time, I would like to turn the conference over to Todd Lohrmann, Director of Investor Relations. Please go ahead. 
Todd Lohrmann: Good morning, and welcome, everyone.
 Before we get started, I would like to remind you to read the safe harbor statement on Page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to non-GAAP financial measures. Please refer to the reconciliations to GAAP contained in the appendix.
 Joining me this morning are David Slater, President and CEO; and Jeff Jewell, Executive Vice President and CFO.
 I'll now turn it over to David to start the call. 
David Slater: Thanks, Todd, and good morning, everybody, and thank you for joining.
 During today's call, I'll touch on our financial results, provide an update on the latest commercial activity and construction progress on our growth projects. I'll then close with some commentary on the current market fundamentals, before turning it over to Jeff to review our financial performance and outlook.
 So with that, we're off to a great start in 2024, giving us confidence in our full year plan. We are reaffirming our 2024 adjusted EBITDA guidance range and our 2025 adjusted EBITDA early outlook range.
 Our construction and commercial teams continue to make great progress on our backlog of organic growth projects, setting the company up for continued success. This morning, we are excited to announce a new expansion on our Stonewall system, which includes additional mainline capacity, incremental compression and a new interconnect with Mountain Valley Pipeline. This project will provide a new production outlet to the Mid-Atlantic market, which we expect will become a fast-growing region with new data center and AI-powered demand load emerging. The project is anchored by a 15-year agreement with a large investment-grade producer, which includes an acreage dedication and a minimum volume commitment. In conjunction with our new Stonewall development, we have also upsized our Appalachia gathering system Phase 3 expansion. The capital investment to support both these projects was already contemplated as highly probable as part of our capital guidance. And our capital plan for the year remains within our free cash flow after dividends.
 Staying in Appalachia, initial volumes began flowing on our Ohio Utica System in March. As a reminder, we expect production volume to ramp over an 18- to 24-month period as our customer executes on its development plan and delineates this emerging play. And our revenues are fully protected under a take-or-pay contract structure. The liquids-rich Ohio Utica resource play is highly economic in today's price environment and further diversifies our gathering segment. We expect this emerging basin to continue to grow and are observing increased drilling activity from both our anchor customer as well as other producers in the region.
 Turning from Appalachia to the Haynesville. We are pleased to announce the completion of our new interconnect between our Haynesville system and the  Gillis Access project. This strategic interconnect will provide greater optionality to lead customers. directly connecting the system to approximately 6 Bcf a day of expected new LNG export demand growth and further strengthening our competitive position. Our Blue Union Carthage area connection was also completed in mid-April, offering additional supply access, increasing our ability to further diversify customers on our Haynesville system. Our lead Phase 3 expansion remains ahead of schedule and on budget. And once completed, will bring the system's total capacity to 1.9 Bcf a day. 
 We remain in active discussions for LEAP Phase 4 expansion and are well positioned in the basin to grow and have proven our ability to serve our customers in a timely and efficient manner. While Haynesville producers have acted rationally to respond to short-term prices, there is strong recognition of the coming demand starting next year and the long-term need for production access to the Gulf Coast markets.
 Turning to our energy transition platform and our carbon capture and sequestration project in Louisiana. In the first quarter, we successfully drilled our Class 5 test well. Completing the Class 5 test well was an important milestone in the development process as we continue to derisk the project with minimal capital spend. Early results indicate that the sequestration site meets or exceeds our initial view of the geology, and we remain on track for our second half 2024 FID.
 Following the recent EPA announcement of new regulations mandating a 90% reduction or capture of CO2 emissions from new natural gas plants, we are poised to capitalize on this rapidly expanding market for carbon capture and sequestration. Our Louisiana carbon capture and sequestration projects methodical approach underscores our proficiency in development and execution and establishes us as a credible first mover capable of providing complete source to sync carbon capture solutions.
 Finally, I want to take a moment to address the natural gas market fundamentals and producer activity across our footprint. As we described on our year-end call, our guidance for 2024 was based on producers' plans that reflected the gas price environment at the time, which was impacted by warm winter weather. The activity that we are observing to this point remains in line with our plan for the year. In the Haynesville, drilling has commenced on 90% of the wells that we've included in our 2024 plan. And in Appalachia, drilling has commenced on nearly 60% of the wells included in our 2024 plan.
 Looking ahead, gas prices in '25 and 2026 remain in the $3.50 to $4 range, which we believe reflects the new LNG demand and will support production growth on our assets as we close in on 2025 with potential for an earlier response of hot summer weather increases the call on natural gas for power demand. Like the rest of the sector, we're closely monitoring the developments around expanding demand to support data center and AI growth. While it's still early days, it's an exciting development as emerging power demand is expected to increase the call on natural gas-fired generation, supporting the need for natural gas and natural gas infrastructure for decades to come. Additionally, many of our assets serve the regions that are expected to see this power demand growth fueled by data centers and AI deployment.
 I'll now pass it over to Jeff to walk you through our quarterly financials and outlook. 
Jeffrey Jewell: Thanks, David, and good morning, everyone. In the first quarter, we delivered overall adjusted EBITDA of $245 million, representing a $6 million increase from the prior quarter. Our Pipeline segment results were in line with the fourth quarter 2023 and reflecting the higher firm revenue on LEAP, offset by lower short-term revenue.
 Gathering segment results were $6 million greater than the fourth quarter 2023, reflecting lower overall O&M and a ramp-up in contribution from the Ohio Utica gathering system. Operationally, total gathering volumes across both the Haynesville and Northeast, averaged approximately 3.1 billion cubic feet per day in the first quarter, in line with the prior quarter.
 Our financial plan and 2024 guidance assume that gathering volumes and adjusted EBITDA will be lower in the second and third quarters due to planned maintenance in the Haynesville as well as expected timing of producer activity. Volumes and EBITDA are expected to increase in the fourth quarter, driven by incremental contributions from our new projects and a more constructive market environment for producers. As David mentioned, we are confident in our full year outlook and reaffirming our 2024 adjusted EBITDA guidance range and our 2025 adjusted EBITDA early outlook, reflecting the strong positioning of our assets. 
 We've increased our committed capital in 2024 and 2025 to reflect new organic projects reaching FID with $265 million to $295 million committed in 2024 and approximately $140 million committed in 2025. This increase is reflective of projects from our prior backlog that were already contemplated in our guidance, and we will continue to expect to spend within free cash flow in 2024 and 2025. If incremental growth investments do not reach FID in 2024 or 2025, we will evaluate the most accretive options for the excess cash flow with our current view that it will likely be deployed towards debt reduction. We are committed to preserving the strength of our balance sheet and achieving an investment-grade credit rating and are looking forward to our annual meetings with the rating agencies in early May.
 Finally, today, we also announced the declaration of our first quarter dividend of $0.735 per share, unchanged from the prior quarter. We remain committed to growing the dividend 5% to 7% per year, in line with our long-term adjusted EBITDA growth.
 I'll now pass it back over to David for closing remarks. 
David Slater: Thanks, Jeff. So in summary, we are very pleased with the start of the year and are feeling confident in our full year guidance for 2024 and early outlook range for 2025. Our short-cycle growth investments continue to track on budget and on schedule with some projects running ahead of schedule, resulting in meaningful growth contributions in '24 and 2025. Our approach to capital allocation remains thoughtful and disciplined with our focus on spending within cash flow over the balance of our 5-year plan and achieving an investment-grade credit rating. As we look across the portfolio, we continue to see significant growth opportunity with our integrated and strategically located asset footprint building torque and our capital investment program laying a strong foundation to build upon. We can now open up the line for questions. 
Operator: [Operator Instructions] We'll go first to Jeremy Tonet at JPMorgan. 
Jeremy Tonet: Just want to kind of start off with some of the commentary you laid out with regards to AI and data centers in how that could be beneficial potentially for DTM. And specifically, as it relates to Nexus, it seems like there's a good amount of latent capacity there. So just wondering if you could help us think through when this might kind of come to fruition, those types of opportunities. 
David Slater: Jeremy, thanks for that question. And yes, we're -- I guess, our high-level view is that the market right now is under forecasting power demand. especially in that Midwest, Mid-Atlantic area. When you look at where a lot of the investments for data centers are happening, they're happening in those geographies. We've been seeing a lot of inbound inquiries, as you alluded to, on our network or incremental capacity that's emerging here in the next couple of years. These centers are popping up everywhere. And it's a very short cycle turnaround in terms of when they announce a center and when that demand shows up on the grid and in terms of incremental generation to supply that, it's base load demand. So it's going to fall upon natural gas-fired generation predominantly to serve that incremental load. 
 So we're very excited about it. I think it's going to also drive some incremental generation in these regions. A lot of that's been announced already in the Mid-Atlantic region and Southeast. I expect more of that's coming in the Midwest. So yes, so we're seeing the early signals of those demands and those companies that are looking to make those investments, looking for incremental fuel supply to those locations. So we're optimistic. Again, I feel like the market is under forecasted this demand. And as that becomes more visible across the segments, and it's going to be very favorable. It's strong fundamentals around Nexus, around Vector. The announcement we made this morning on Stonewall for the interconnect with Mountain Valley. I think that's a derivative of what's happening in the Southeast Mid-Atlantic region, where people are seeing a call on natural gas a couple of years ago, it's going to significantly expand. So we're bullish. It's early days, but we're definitely seeing those fundamental signals coming across the dashboard right now. 
Jeremy Tonet: Got it. That's very helpful. And maybe just pivoting over towards the LEAP system, just wondering if you could help us understand a bit better Southern Louisiana Logistics dynamics. And once the gas gets to Gillis, where does it go from there? Can it get to the LNG export facilities? Or are there future, I guess, expansions needed to connect there? Just wondering how you're seeing that come together in demand for LEAP expansions overall? 
David Slater: Yes. I think the best illustration of that, Jeremy, is the Gillis Access project. So that's in service and been flowing gas now for a couple of months. That opens up an incremental 6 Bcf a day of demand growth that LEAP will have the opportunity to serve, so that's some new infrastructure that's being put in place to directly serve the new LNG demand that's coming. But LEAP is very well interconnected at Gillis with numerous pathways into the expanding LNG terminals, so it's complicated down there. There's a lot of pipe at the last mile pipe. But that's why the Gillis Access interconnect was still strategic for us is that it's one of those, what I'll call, last mile projects that is significantly expanding the ability to get incremental gas to these facilities. 
Jeremy Tonet: Got it. That's helpful there. And just a quick last one, if I could. Haynesville activity very much in focus. It looks like Haynesville might be down 10% second quarter versus first quarter here. Just wondering if you could walk us through, I guess, if that pattern holds, what type of impact that has on DTM? 
David Slater: Yes. Another good question. And I may have Jeff sharing the answer here, but I'll just start with the actions that our producers are taking are in line with our full year plan. And we expected that there would be some delays in completion activity in the Haynesville, a lot of producers have publicly said that. And Jeff, maybe you can describe how we're thinking about that at a high level on our '24 plan. 
Jeffrey Jewell: Yes, sure. So Jeremy, the way we positioned ourselves for 2024 is we took the latest information from our producers. And then we also built in a little bit of extra softness as a part of the 2024 guidance that we've provided. And then as part of my prepared remarks that we did today, we sort of described that the second and third quarter are going to be lower than what we're seeing here in the first quarter and then towards the end of the year, they're in the fourth quarter is when we're expecting producer volume to start picking up in the fourth quarter, positioning themselves into the -- into '25. But the key point though is we're still very comfortable with our 2024 guidance range that we have provided. 
Operator: We'll move next to Olivia Halferty at Goldman Sachs. 
Olivia Halferty: Maybe we could go back to LEAP for a minute. Phase 3 has been tracking ahead of schedule for the past couple of quarters. Can you walk us through how far ahead of schedule the project is tracking and maybe what you would need to see to potentially accelerate that time line? And more generally, on LEAP project time lines looking forward to the Phase 4 plus expansions. Could you walk us through a rough timeline of when you would need the FID if targeting a 2025 or 2026 in service? 
David Slater: Sure, Olivia, and thanks for the question. So I'll start with Phase 3 expansion. Yes, the project is running modestly had a schedule right now. And we're very happy with how the construction team has been executing. We're ahead of schedule and on budget. In terms of additional granularity on that, I'd say we'll stick with our current disclosures that we expect that to come in, in Q3. But you can infer from what I'm saying, when are in Q3 that may come in at. In terms of Phase 4, what I'll say is the producers are behaving very rationally right now with this low commodity price environment. You're expecting the market to pivot here in Q3 and Q4. So we're seeing a lot of torque building right now in the Haynesville with our assets, and how we're positioned. We've been able to execute expansions over the last 18 months. There's going to be incremental capacity required to serve the incremental demand that is under construction and on the eve of going into service here later this year.
 So we feel very confident in our positioning. Producers are being rational in this low price environment where they don't want to make an incremental commitment until they see the market pivot and turn. We are working closely with those customers and fully expect to participate when that market pivots and turns and they're financially in a position to make incremental commitments. So I'll just leave it at that. 
Olivia Halferty: Got it. Super helpful. And maybe we can pivot to CCS. Do you have any details that you can share on the initial public read for the Class V test well results? And then I guess, looking forward, we've seen a couple of recent updates from peers on the potential to further pursue additional CCS opportunities, so to what extent do you see DTM further leading into CCS? And what would you need to see on lower carbon opportunities more broadly for that to take more capital share versus the planned 60/20/20 split currently among pipeline gathering and energy transition spend? 
David Slater: Sure. Well, let's start with our current project, and maybe I'll provide a little more color around how that test well played out. So part of drilling the test well as we did injection testing in the formation and those tests were very positive. We also logged the entire strata above and below the formation that we're planning to sequester into and all that came back very favorable and as expected. So we're very pleased with the results of that test well. And it's this methodical approach that we're taking to this development, derisking the capital that we have at risk, leveraging our expertise from natural gas storage development and pipeline development around this particular opportunity. And just to remind everybody, this is a source to sync development. 
 So we're capturing the CO2 off our treatment plants piping it to the sequestration site, doing the injection well and doing the permanent sequestration. So we're doing all 3 components. And as I alluded to in my opening remarks, we're observing the need for that carbon capture and sequestration solution, all 3 pieces. The market is -- that market is expanding right now, especially with these new rules, the EPA is proposing for gas-fired power plants. But we're also seeing inbound interest from industrial clients as well that have large CO2 emissions. This approach is a very rational approach for them. So we're seeing that third-party business emerging. It's early days, but strategically, our view is, let's go through our own development, do it for ourselves, prove out our ability to do it in a very thoughtful, rational way and position ourselves for third-party opportunities, especially around our geographic areas of focus. 
 So that would be in Louisiana that would be in the in the northern part of the country in the Midwest region. And again, these regions have great geology for CCUS, and we believe will be a good counterparty to many of those customers that are looking for that service to provide it. 
Operator: We'll move next to Spiro Dounis at Citi. 
Spiro Dounis: Maybe just to go back to LEAP Phase 4. David, I understand your point on producers being rational here in this price environment. But just curious if you see any potential to upsize that expansion or at the very least underwrite towards the higher end of that 200 million to 400 million cubic feet a day range, just given that some of your competitor pipelines might be delayed. 
David Slater: Yes. What you just said, Spiro, is a reality that's playing out down there right now. There's lots of challenges for some of these new greenfield projects. So what we're doing is we're just staying very close to the market. And these are real demands that are coming. They're under construction. It's unfortunate that in the backdrop, we have this really weak price environment. But it truly is building torque down there right now in the system. And just to remind the audience here, we're really the only project or one of the few projects that have been able to expand capacity into that market segment over the last 18 months. So we've got a great track record of getting stuff done, getting it done timely, in fact, early in most cases. So that gives the market a lot of confidence when they're looking at who I want to ride on in terms of the next wave of expansion. 
 So we're really trying to leverage that. I think everyone's looked at the numbers, everyone sees the magnitude of the incremental demand that's coming, so there's a lot of opportunity here. And we're confident that we're going to get our fair share. Can we upsize beyond the 200 million to 400 million? My aspiration would be to do that, but I think it's going to come just like the first 900 of expansion has come in nice bite-size chunks. We have the ability to do that because we're incrementally expanding in the existing system. And we also have the ability to do that all the way upstream to the wellhead. Our system is an integrated system, and again, we've been able to demonstrate, we've been able to do wellhead to treatment, treatment expansions and then treatment to all the regional market centers the basin serves. So feel optimistic, but this price environment is definitely putting just a pause on people making their final decisions. So we're being patient. We're being patient and optimistic, and we believe we have a great service and a good track record of execution. 
Spiro Dounis: Got it. Helpful color there, David. Second question, maybe just going to the Stonewall interconnect with MVP. It sounds like the timing for that is 2026, and it looks like a good chunk of that is underwritten by MVCs. I know there is some concern around bottlenecks at the end of MVP. And so just curious how you're thinking about actual volume flows in 2026. Do you see any bottlenecks? Is this going to be a phase-in approach. Just any color there. 
David Slater: Yes. I mean we're really happy with what we announced this morning. We always view that if MVP gets built and it's on the doorstep of being completed, that it's going to unlock incremental opportunity for that integrated system, the Stonewall and Appalachia gathering systems. And that's exactly how it's played out. So I think from a MVP perspective, this interconnect will provide supply diversity to all those shippers. It will open up incremental producers to compete for that market. So we believe across our whole network, is an incremental positive. As you alluded to in this environment, this arrangement that we have with the anchor is backed by significant firm commitments so that we are confident that we'll realize our returns on this project. 
 In terms of how we expect that to be utilized and when it comes to service in 2026, again, I think the demand in the Mid-Atlantic region is really strong and robust. And again, my view likely under forecasted right now. So again, may there be some timing issues here in terms of how that capacity is ultimately utilized, I think time will tell. But from a financial perspective, we're protected with those firm charges that we have embedded in the contract structure that even if it's a lower utilization on day 1, economically, it's not going to matter to us. 
Operator: We'll move next to Keith Stanley at Wolfe Research. 
Keith Stanley: Wanted to follow up on the data centers and the inquiries you're getting for new capacity. Is that mainly to serve newly proposed gas-fired power plants that would serve data centers, or do you see this going more as you have existing gas plants that need to increase pipeline capacity. And so there's volume increases kind of across your existing gas pipelines? 
David Slater: Keith, we're seeing both phenomenon playing out, which is kind of why I think, generally speaking, the market is under forecasting the power demand load, is data centers are base load, right? They are 24/7 base load powers in their huge load centers. I personally believe that's going to translate pretty directly back through to the gas-fired generation fleet. I mean the renewables are already factored into the to the demand curve. And this incremental base load demand will trigger a much higher utilization, I believe, in the gas-fired fleet in these [indiscernible]. So we're seeing it on both dimensions, the existing fleet and the -- to be the next wave of incremental capacity being contemplated. 
Keith Stanley: Got it. Second question, I just wanted to touch base on the Louisiana pipeline crossing issue. And the most recent court decision, I guess, kind of went in your favor. One of your peers have now argued that certain Haynesville takeaway pipelines should have been FERC regulated as long-haul pipelines. Do you see any implications at all for LEAP on this, depending on how that goes at FERC? Or any other thoughts you have just on this topic, and how it could play out? 
David Slater: Yes. There's been tremendous drama, right, that has been playing out in the basin for the last 18 months. So I'll start with our particular ruling, we're very positive and it's favorable to us. It's what we expected. That being said, it doesn't impact. It did not impact Phase 1. It will not impact Phase 4. So we're -- we pursued that more out of our long-term view for the industry, what's right and wrong in these servitude agreements and the interpretation of those servitude agreements. So that's all I'll say about that, that process is still unfolding in the courts and will continue to play out. In terms of our perspective, we're not stepping into the drama that's playing out in the basin because it's not impacting us. 
 We're very supportive of the legislation that's rolling through the Louisiana at a state level that's looking to clarify some of this for the future. And in terms of our Haynesville system, we have an integrated system. And the best analogy I'll use is offshore activity in the Gulf of Mexico, where you have an integrated system that reaches out to the wellhead, gathers from all the wellheads, treats and then brings it onshore to the major market pipes. Our systems are no different than that. It's integrated. And as you all have seen over the last 18 months, there's almost a one-for-one relationship between wellhead and treatment expansions and LEAP expansions. So our systems have been operational for over 5 years, and we've never had this issue emerge before. 
 So again, I'm not going to step into the drama, but there's lots of always going back and forth over the net, if I can use that analogy, and I don't expect that will stop until the competitive process plays out, and I'll just leave it there. 
Operator: We'll go next to Robert Mosca at Mizuho Securities. 
Robert Mosca: Just 1 for me. It seems like the Stonewall expansion timeline may have accelerated a little bit here. Wondering whether you think there's some potential for similar accelerations in the Northeast, and also wondering how much of the expectation for increased domestic demand to the Mid-Atlantic is baked into your CapEx outlook right now? 
David Slater: Yes. Let me talk maybe at a high level about Appalachia and just this acceleration that you're referring to. So I'd say when I look at Appalachia, look at our footprint, Ohio Utica we're really bullish that play. As I alluded to in my opening remarks, we're seeing incremental activity showing up around that acreage. So we're optimistic that we're going to see continued growth there, potentially an acceleration of growth there. So I'll start with that. How this mid-Atlantic market plays out here over the next 12 to 18 months as this demand becomes clearer. I know Mountain Valley is looking at an expansion. The EQT, Equitrans merger, I think, has to settle out, and we'll get better clarity on the timing around those potential opportunities, and if there'll be an upstream impact and incremental upstream impact on Stonewall. 
 So I think that will all play out. But I think the fundamentals are all constructive. That's, I guess, my view is that when I look at the fundamentals, both on the supply side and on the demand side. They seem to be very constructive around our asset positioning and our asset footprint. It was alluded to earlier on the call that there's some hydraulic capacity that we're looking to unlock out of NEXUS. And again, that all plays into this outlook that we're seeing right now. We're seeing strong fundamentals in certain parts of the basin, emerging. And then this demand pull that's emerging in the load centers. We have a nice interconnected integrated asset footprint that we can use to take advantage of all of that. And piece together solutions for both producer customers and for power generators on the other side. So we're very optimistic right now that that's going to continue to play out over the next couple of years in the portfolio. 
Operator: We'll move next to Sunil Sibal at Seaport Global Securities. 
Sunil Sibal: So first of all, on the investment-grade credit ratings I think previously, you've talked about end of the year, '24 early '25 as the goal. And I was just trying to see, based on your comments going into discussions with rating agencies in the next few months. How should we think about that? Do you see kind of an acceleration of a timeline? Or the previous timeline is still kind of a good timeline to think about? 
Jeffrey Jewell: Yes, so I think your time line at later '24, '25, that's our original plan. That's what we've been talking to you guys about for the last few years. So we're set up to have our annual meeting. It's going to be the first of -- first week of May. It's like next week. We're meeting with all 3 of the rating agencies. So again, we're anticipating those are going to be very positive discussions, and so we'll get more clarity from them like what is that final piece related to acceleration of maybe pulling forward either positive outlook or even up to being upgraded and investment grade, it's the Chesapeake swim transaction like we've talked about, we think that's probably the biggest thing that could accelerate when that deal gets done here in the second half of this year. So that's kind of what our plan is. Our plan get us there according to the timeline and then the merger is what would we see that as an accelerant towards the plan. 
Sunil Sibal: Understood. And then 1 clarity on your latest project in the Northeast. So it seems like do you see this as a kind of an incremental demand, but say, with regard to the takeaway capacity? Or is it just the fact that producers kind of lining up to fill up the MVP. So I'm just kind of curious how -- based on your discussions, how do you see MVP volumes progressing as it comes online in the next month or so? 
David Slater: Yes. I'll take that one, Sunil. I'd say for our project, which just to remind everybody comes online in 2026. I'd say the initial thinking there is more diversity of supply for the existing Mountain Valley contracts in the early days when it comes online. But I think a longer view would also -- that would be another pathway if there is a Mountain Valley expansion. And I think but the owners of Mountain Valley are talking about an expansion, that this is another pathway to serve that incremental demand and again, provide some diversity of supply into that asset longer-term. So I actually think it's both one in the short term and the other one in the longer-term. Hopefully, that answered your question. 
Operator: And that does conclude our Q&A session. I will now turn the conference back over to David Slater for closing remarks. 
David Slater: Well, thank you very much for joining us today, and we certainly appreciate your interest in DT Midstream, and we look forward to seeing many of you at the EIC conference coming up in a few weeks. Have a great day. 
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.